Operator: Good afternoon, ladies and gentlemen and welcome to the Gulf Island's Conference Call to discuss First Quarter 2022 Results. All participants will be in listen-only mode for the duration of the call. This call is being recorded. At this time, I would like to turn the floor over to Ms. Cindi Cook for opening remarks and instructions. Cindi, please go ahead.
Cindi Cook: Thank you, and good afternoon. I would like to welcome everyone to our first quarter 2022 teleconference. Our results were released this afternoon and a copy of the press release is available on our website at gulfisland.com. A replay of today’s call will be available on our website after 7:00 PM this evening. Please keep in mind that the press release and certain comments on this call include forward-looking statements. And actual results may differ materially. We would like to refer everyone to the cautionary language included in our press release and to the risk factors described in our 2021 Form 10-K and subsequent SEC filings. Please also note that management may reference EBITDA, new project awards and backlog on this call, which are financial measures not recognized under US GAAP. As required by SEC rules and regulations to the extent used these non-GAAP financial measures are reconciled to their most comparable GAAP financial measures in our press release. Today, we have Mr. Richard Heo, President and CEO; and Mr. Wes Stockton, Executive Vice President and CFO. Mr. Heo?
Richard Heo: Thank you, Cindy. Good afternoon, everyone, and welcome to our first quarter results conference call. I am happy to be here with you this afternoon and I hope that each of you and your families are continuing to stay healthy and safe. During today's call, I'll provide key takeaways from the quarter, an update on segment performance and end market trends and update on the progress we have made on our strategic priorities. Wes will then discuss our first quarter results in greater detail. We'll then open up the call for questions and conclude with some closing remarks. Overall, the first quarter results were consistent with our expectations as strong revenue and profit growth in our newly formed Services segment and another quarter of strong project execution were offset by continued low volume levels associated with large project fabrication work. Our fabrication backlog remains at low levels. We're encouraged by the recent tightening in market conditions we are witnessing for large project fabrication. Additionally we made good progress on the safe wind down of our shipyard business and made continued advancements on our strategic initiatives. Specifically for our Services division, we have quickly built a strategic platform that is well-positioned to take advantage of favorable end market trends, while also bringing stability to our overall business. Our first quarter Services revenue more than doubled, while EBITDA more than tripled as we generated strong organic growth in our legacy Services business driven by the strength of our end markets and benefited from solid results in our first quarter of contribution from the DSS acquisition. I'm very pleased with the integration of the DSS business as we are seeing strong utilization of our expanded craft workforce and opportunities for pull-through fabrication work from our expanded customer base. We have made organizational changes to combine all of our Services business to bring stronger collaboration and accountability. I'm happy with the progress we have made in a very short time frame and excited about the possibilities for future revenue synergy opportunities. As end market trends in our Services business continue to strengthen with rising energy prices, our customers are moving forward with projects that have been delayed and pushed out in recent years. With an expanded portfolio of services offerings, a broader customer base and a workforce of skilled, craft labor that doubled in size following the acquisition we are now seeing the strength of this combination. We're also leveraging the strong foundation for pull-through fabrication work for our Fabrication division. For example, we are seeing more awards for fabricated materials for our Services customers including subsea fabricated structures that help operators optimize oil and gas production. These subsea structures range from simple pipe connectors to entire subsea process systems. We were recently awarded subsea jumpers, which are short pipe connectors that are used to transport production fluid between two subsea components. I'm very excited about the end market trends and our ability to capture our market share with support from our Services business. Moving on to our Fabrication division, we had another solid quarter of execution with most projects performing better than their as-sold estimates. Volumes remain challenged overall, but we continue to see good activity in our small-scale fabrication business supported by pull-through fabrication work from our services customers as previously mentioned. Given the favorable end market trends in energy, our deep customer relationships and strategic locations as well as our ability to benefit from pull-through fabrication work from our services customers we expect continued momentum and demand for small-scale fabrication. With respect to larger fabrication work, we highlighted on our last call, our commitment to taking a measured and disciplined approach when bidding on large projects given the risks inherent in these long-term fixed price contracts and that has not changed. Activity in the large fabrication market continues to improve with early decisions being made on a number of large LNG projects. But through the end of the first quarter, we were still seeing excess capacity in the market, resulting in unattractive pricing dynamics. However, with announcements of FID for key LNG projects in the Gulf Coast and rising energy prices, we are beginning to see a noticeable tightening in fabrication capacity. The industry is quickly coming to grips with this dynamic and we are having much more constructive conversations with our potential customers. We are encouraged by the evolving trends in the large project fabrication market and believe our solid base of skilled craft workforce, strategic location and strong history of execution positions us to take advantage of these improving industry dynamics. While we have yet to sign any large fabrication orders, I believe our patience may soon be rewarded. For our Shipyard Division, we continue to focus on efficient and safe wind-down of our shipyard operations. Our 70-vehicle ferry project for the Texas Department of Transportation was 86% complete at the end of the first quarter and remains on track to be completed in the third quarter of 2022. The ferry is substantially finished with the construction phase and it is in the water. We are pre-testing the piping system and moving into the outfitting phase, which will be followed by sea trials and commissioning. We continue to work collaboratively with Texas Department of Transportation to ensure that we maintain our budget and schedule. With respect to our two 40-vehicle ferry project, our teams continue to make good progress, notwithstanding the many challenges associated with previously discussed vessel design deficiencies. At March 31, the second vessel was approximately 96% complete and is forecast to be completed in the second quarter of 2022 and the first vessel was approximately 77% complete and is forecast to be completed in the third quarter of 2022. As we previously disclosed, in January during sea trials for the second vessel, one of the propulsion systems unexpectedly shut down, causing the vessel to veer off course and run aground causing damage to the hull. We recorded a charge of $100,000 associated with our deductible for our insurance coverage for the incident. We believe the system shutdown was due to the design deficiencies and are currently working through a change order with the customer to make modifications to the vessel to fix the problems that resulted in the propulsion system shutdown. We remain focused on safely and efficiently completing our remaining shipyard obligations and we believe we are on track to successfully complete the wind-down of the shipyard business by the end of the third quarter. Once complete, we look forward to redeploying these resources and focusing 100% of our time and energy on profitably growing our remaining businesses. I'm happy with the progress we're making on our strategic transformation strategy as we have made important advancements on a number of key initiatives during the quarter. Our new growth end markets are seeing robustness that gives me confidence that we will end the year with some large fabrication awards. Looking further out, we continue to see increased inquiries and bidding activity with customers focused on energy transition and renewable energy. While larger opportunities and US win would likely not materially impact our backlog until the back half of 2023, we are also seeing momentum in this end market as well. Lastly, as the labor supply market continues to be a challenge, we are seeing more opportunities outside of the oil and gas sector where customers are looking to reduce risk with a modular concept by moving fabrication into a more controlled environment like our yard in Houma Louisiana. We'll continue to evaluate these opportunities and pursue those where the risks and benefits align with our company objectives. In closing, I'm encouraged by our first quarter progress. We're continuing to see solid trends in our Services and small-scale fabrication businesses and we're encouraged by the recent trends in the large project fabrication market. There is still work to be done, but I'm very encouraged by our end market trends and believe we are well positioned to succeed in each of our businesses. I will now turn the call over to Wes to discuss our quarterly results in greater detail.
Wes Stockton: Thanks Richard and good afternoon, everyone. I will discuss our consolidated results and then provide some additional details regarding our segment results, putting in context the factors mentioned by Richard and their impact on the quarter. I will then conclude with the discussion of our liquidity. Please note that unless otherwise specified all financial information referenced relates only to our continuing operations. Before getting into the details, I want to highlight the change to our segment reporting mentioned by Richard. To reflect the growth in our services platform, effective in the first quarter, we split our former Fabrication & Services segment into two separate segments. Accordingly, our new reportable segments are Services, Fabrication, Shipyard and Corporate. Our Services Segment includes all of our offshore and onshore services work performed at customer facilities, including offshore platforms, which has generally performed on a time and materials basis. Our Fabrication Segment includes all fabrication work performed on site at our own facilities, including pull-through fabrication work to support the Services Segment. This work is generally performed on a fixed price basis. The Shipyard Division and Corporate Division are unchanged from prior reporting. Shared resources and costs that benefit more than one operating division are allocated amongst the operating divisions. We have provided tables in our press release that recast the quarterly and annual segment results for 2021 for the new reportable segments. So with that backdrop, I will provide some additional details regarding our quarterly results. Consolidated revenue for the first quarter 2022 was $28.7 million, an increase of 21% from the first quarter 2021 with the year-over-year increase attributable to our Services Division. Consolidated operating loss for the first quarter was $5 million and EBITDA was a loss of $3.7 million. Our consolidated results reflect a positive contribution from our Services Division, offset by the under-recovery of our overhead costs for our Fabrication Division, costs associated with our Corporate Division and losses attributable to our retained shipyard operations. Specifically for the Services Division, revenue for the first quarter of 2022 was $20.7 million, an increase of 175% compared to the first quarter 2021. The increase was driven by organic growth in our legacy offshore Services business and the contribution from the DSS acquisition. Services EBITDA for the first quarter was $1.5 million, representing a $1.1 million increase from the prior year period. Operating results for the quarter benefited from an improved margin mix and the acquired business. We expect continued strong operating results for this division in the second quarter. For our Fabrication Division, revenue for the first quarter 2022 was $5.6 million, a decrease of 52% compared to the first quarter of 2021. The decrease was due to the completion of our larger fabrication projects, partially offset by higher small-scale fabrication activity. Fabrication EBITDA for the first quarter was a loss of $2.1 million, versus EBITDA of $1.5 million for the prior year period. Operating results for the first quarter were impacted by our low volume levels and the underutilization of the division's facilities and resources. The division's utilization for the first quarter was comparable to the trailing quarter, but was almost 60% lower than the prior year period. We expect utilization levels to continue to be challenged in the second quarter, with potential improvement as we move into the second half of the year, based on the strength of our small-scale fabrication work. With respect to our liquidity, we ended the quarter with a cash balance of $43 million, which was consistent with our expectations, reflecting the anticipated impact of the post-acquisition working capital increase for the DSS business and partial satisfaction of liabilities associated with our shipyard operations. At the end of March, we had $6.2 million in net liabilities attributable to our shipyard operations and we expect to satisfy most of these liabilities over the next six months, as we complete our active shipyard contracts and wind down our shipyard operations. These obligations exclude future vessel holding costs and legal expenses associated with our ongoing MPSV dispute. Finally, turning to our outlook for 2022. We continue to be encouraged by the demand for offshore services and strong small-scale fabrication activity and are becoming increasingly optimistic about large-scale fabrication opportunities. However, given our current low backlog levels for our fabrication division, we anticipate continued near-term underutilization of our facilities and resources, which will result in operating losses for the second quarter. With respect to our liquidity, we are forecasting to exit the second quarter with a cash balance of approximately $40 million, reflecting the anticipated impact of operating losses for the quarter and the partial satisfaction of the previously referenced liabilities for our shipyard operations, offset partially by anticipated insurance receipts associated with Hurricane Ida claims. This concludes our prepared remarks. Operator, you may now open the line for questions.
Operator: Thank you. [Operator Instructions] Our first question will come from Martin Malloy with Johnson Rice. 
Martin Malloy: Good afternoon.
Richard Heo: Hi, Martin.
Wes Stockton: Hi, Martin.
Martin Malloy: Hi. Thank you for breaking out the Services Segment. That will be helpful to see it reflected like this. My first question, I think you mentioned you expect to book several large fabrication awards by the end of this year. Could you maybe talk a little bit more about the type of fabrication awards you expect to book?
Richard Heo: Yes. These are associated with some of the large LNG announcements that you've heard Marty. It's the types of jobs that we've been talking about for the past year here and it's associated with the FID that you've heard announced here recently.
Martin Malloy: Okay. Okay. That's great. And then in terms of floating LNG or offshore not necessarily floating, but New Fortress came out and talked about doing, I think, now it's a total of two trains off the coast of Louisiana and six trains off the coast of Texas is what they hope to do. Are you seeing others interested in that market as a result of these announcements by New Fortress or pursuing similar strategies that maybe New Fortress has, kind of, opened up a concept that others might be pursuing? 
Richard Heo: We haven't seen other projects in the -- more specifically kind of in the territories that we follow here in the US, follow New Fortress Energy's path. I mean they've got an interesting philosophy on this Fast LNG that you're talking about, but we have not seen --the FIDs that you are seeing are more land-based projects in Texas and Louisiana that are making FID and/or limited notice to proceed on certain projects. New Fortress Energy is a unique concept and we are following that project closely. 
Martin Malloy: Okay. And then my final question was just about your commentary about the Gulf Coast regional fabrication capacity being challenged to satisfy the growing demand. Is that because of labor constraints in certain areas, or is it because some of the fabrication yards maybe aren't there anymore that were there 10 years, 15 years ago some of that capacity? Can you maybe talk a little bit more about that? 
Richard Heo: Yes. I think it's a combination of both, right? It really is the limitation on capacity as it relates to the asset, the facilities. So a lot of the businesses have or they're no longer there or they've been merged with other companies. And then more, specifically, I think the big challenge is that a lot of these fabrication yards are in close proximity to each other. And so what happens is that the demand for and the supply of labor becomes very constrained. We have the benefit in Houma, Louisiana where we don't have that same competitive pressure as it relates to other fabricators or steel structure fabricators that we have to compete with so we're in a unique position. And that's one of the things that we've talked about on our previous calls is that we want to take and make sure that we capture the value associated with our asset in not only the geographic presence close to the Gulf Coast close to the Mississippi River, but more importantly, just our dedicated labor pool. We've got about 200 fabrication employees today that are in our Houma yard and that's been pretty consistent. And so we are going after the customers that value that consistency and our ability to get headcounts in a stable productive manner to make sure that their projects are on schedule and on budget. 
Martin Malloy: Okay. All right. Great. Well, thank you very much. I will turn it back.
Richard Heo: Thanks, Martin.
Wes Stockton: Thanks, Martin.
Operator: [Operator Instructions] And this concludes today's question-and-answer session. At this time, I'd like to turn the conference back over to Mr. Heo for any additional comments. 
Richard Heo: In closing, I'd like to thank our customers and shareholders for their continued support as well as recognize our employees who continue to demonstrate a commitment to Gulf Island's success. For those on the call, thanks again for your interest and I look forward to speaking with you on our second quarter results conference call, and updating you on our progress. Be safe and take care. Thank you. 
Operator: Thank you. That does conclude today's conference. We do thank you for your participation. Have an excellent day.